Operator: Good day, and welcome to the USANA Health Sciences Fourth Quarter Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrique Richards, Executive Director of Investor Relations and Business Development. Please go ahead, sir.
Patrique Richards: Thank you, and good morning. We appreciate you joining us to review our fourth quarter and full year results. Today's conference call is being broadcast live via webcast and can be accessed directly from our website at ir.usana.com. Shortly following the call, a replay will be available on our website. As a reminder, during the course of this conference call, management will make forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause actual results to differ, perhaps materially, from the results projected in such forward-looking statements. Examples of these statements include those regarding our strategies and outlook for fiscal year 2021, as well as uncertainty related to the magnitude, scope and duration of the impact of the COVID-19 pandemic to our business, operations and financial results. We caution you that these statements should be considered in conjunction with disclosures, including specific risk factors and financial data contained in our most recent filings with the SEC. I'm joined this morning by our CEO and Chairman of the Board, Kevin Guest; our President, Jim Brown; our Chief Financial Officer, Doug Hekking; as well as other executives. Yesterday after the market closed, we announced our fourth quarter results and posted our management commentary results and outlook document on the company's website. We'll now hear brief remarks from Kevin before opening the call for questions.
Kevin Guest: Thank you, Pat, and good morning, everyone. We appreciate you joining us to review our fourth quarter and full year results as well as our initial outlook for 2021. Overall, we are very pleased with how we performed against the many new and unique challenges of 2020. Our strong performance in the face of an unprecedented pandemic reflects the continued demand for our high-quality nutritional products and successful execution of our strategic initiatives. In 2020, we found that we were well positioned, well prepared and nimble enough to adapt to and succeed in this unprecedented operating environment. Because of this, we ended the year with more customers, higher net sales and record earnings per share. As you can see from our initial outlook, we are expecting 2021 to be another record year for USANA. 2020 was truly a transformative year for our business, as we accelerated many aspects of our customer experience strategy. We've been actively investing in the USANA customer experience for several years now with an emphasis on our digital strategy. In 2020, we capitalized on the groundwork we had already laid and accelerated many other projects to successfully operate during the pandemic. We improved our websites, digital shopping experience, associate training, customer communications and our overall technology infrastructure. Additionally, we introduced several new digital tools that allowed our sales force to continue sharing and selling USANA products in the predominantly virtual environment. These enhancements to our business as well as many other technical and operational improvements have meaningfully improved the experience that our sales force and customers' experience when doing business with USANA. Although we recognize that the pandemic is not over, our outlook for fiscal '21 reflects an expectation that we will see progress through 2021 towards a more normalized operating environment. While we've learned a great deal hosting several virtual events this past year, we look forward to the future opportunities of engaging again with our sales force and customers in an in-person setting when it makes sense to do so. Our business is built around fantastic nutritional products, relationships and personal interactions. We plan to leverage the benefits of both virtual and in-person events moving forward. During the first half of the year, we expect to hold virtual-only events for our sales force and maintain our work from home plan for employees. During the year, we will continue to execute our digital strategy, drive growth in existing markets with our emphasis on China, launch our new Active Nutrition product line and other products that actively seek out business development opportunities. As we execute this strategy, we are projecting another amazing year for the company. In closing, I'm very confident in our strategic direction, the competency and agility of our team and the strength of USANA's underlying business. With that, I'll now ask the operator to please open the lines for questions.
Operator: Thank you. The question-and-answer session will be conducted electronically. [Operator Instructions] And we'll take our first question from David Bain with ROTH Capital.
David Bain: Great. Thank you. First, congratulations on a fantastic 4Q execution. I guess, my first question would be, if you could potentially capsulate the potential route to new market that you suggested in your press release that you're laying the groundwork for? I mean, obviously, that can take many forms, such as China did or be strictly organic. Is there any way we can think about the potential immediate impact to a new market in relation to your strategy?
Kevin Guest: So, our strategy for the last several years is -- has been that we wanted to focus our resources on our existing markets and focus on growth, where we were currently doing business. We feel like we've got an upper hand in that area and feel very confident that it's time for us to move into exploring other opportunities around the globe. If you look at some of our peer group, they're in -- some are in 50 or 60 markets around the globe. And we do see that as a potential growth opportunity, but it's not the primary strategic growth strategy for the company. We do see international expansion as an important piece. But, again, like you mentioned, it takes quite a while for it to have an impact. Jim, do you want to add?
Jim Brown: Yes. I mean, when we look at the markets that we selected as we go forward and, of course, we're at this point in time is where -- when we look at is about 18 to 24 months out. We wanted to announce that to the field, but we do have a plan and a strategy as we go. There's just a lot of work that has to be done from setting up a market and that's everything from logistics, to where and how we're going to produce our products, to hiring the right staff, all of that goes down the path. And that's why we're looking at that 18 to 24 month runway before we actually launch the markets. So, you're looking at an impact probably at the end of '22 when we look at starting up in markets, so you'd see a financial impact into '23, so it's ways out. But, again, we feel, and we always have gone down that path of every couple of years ago opening a market that we need to have the right runway to make sure it's a smooth opening.
Kevin Guest: Yes. And David, I would add on, I think a little bit of your question is the method and manner we enter China. That's definitely something that we considered and evaluated whether a partner makes sense. As we kind of look at the opportunities, and to Jim's point, a lot of the leg work has been done historically and we have these markets kind of sit on a shelf and kind of timing for when it makes sense, like the method and the manner, I think we have an idea, but we're still in the process of kind of getting to that point.
David Bain: Okay, fantastic. And I guess my follow up would be, if maybe you could give us a sense as to what benefit either from a cost structure standpoint or revenue generation through technology or otherwise, just from best practices -- or really what you've learned that could become permanent out of COVID?
Kevin Guest: One of the things that we definitely have learned is that it is very -- we are very capable on an international level and a very high sophistication level when you're operating in several different languages across the world that we can do it virtually. And for me, I don't have to get on a plane and fly to China, and we can still have a very positive impact. One area where I'm abundantly surprised is as we've launched new products and new initiatives that we've been able to do completely from a virtual perspective and seen huge success. And so, our -- one of our big takeaways is that we're going to proceed in the future utilizing a hybrid approach, where we're going to leverage technology in a more meaningful way and encapsulate some of the in-person opportunities. But just, sheerly from a management perspective, I become very much more accessible to our global community and customer base by leveraging technology. And so, that's a huge learn for us because a significant piece of our SG&A -- our spend is done on live events and travel, and it has changed our basic business model somewhat because we've been so used to being on planes traveling all over the world to get in front of our people. And so, that's been a big learn and it will dramatically change how we do business here. I don't know if you guys want to…
Jim Brown: Yes. I mean, the other thing actually from the management team is how we're doing our business. When we look at the sales field, we talk about digital transformation and our digital footprint, we're seeing a huge adoption when it comes to running your business digitally, so -- as well as the company figuring out how to do it. Our field across all of our markets has figured out that way to run their business across Zoom, WeChat, whatever form it is, and to continue down a path of growth. And we were quite incredibly surprised in 2020 and I think that's one of the biggest reasons that we've had such a great year is that adoption to the digital platforms.
Doug Hekking: And David, this is Doug. A little bit more perspective there. In some of our markets and some pockets within existing markets, we've see a hesitation or resistance to adopting some of the technology we rolled out. And this environment has almost forced them to use it and I think we've heard a pretty good response from that. And so, that's been kind of a pleasant surprise for us to go back and more and more folks using the tools.
Kevin Guest: Yes. For us, I like thinking about it that while both COVID had kind of negative effect in many people's lives, it's really been an accelerator for USANA and help against accelerate the strategies that we already have on place versus a disruptor. And I am very grateful that we were able to accelerate things that were already in place when we had to immediately pivot to the new operating environment. And so, I'd see it in a lot of ways from our strategy side an accelerator versus the disruptor.
David Bain: Awesome. And I'm sorry, since it's my first call as an analyst on your stock, if I could ask just one thing as a follow-up to that. Deepening digital revenue generation, the whole thing that you've spoken to, are you seeing an overall younger demographic in the network?
Kevin Guest: I think -- well, I -- this is an anecdotal kind of a response to your question, and Doug has the numbers better than I do. But based upon what I am seeing just from a participation, even from a digital perspective, I do see a younger population, even on my social media accounts and see those who are actively engaging with me as the CEO of the company, I do see a younger group and a younger population continually coming into the business, which I see is very positive. And so, again, this is just my observation at a very high level, but I would say, yes, we do see a younger demographic coming into the business.
Doug Hekking: Yes. I would say as well from a relevant aspect, we're set up now to actually meet the demands of that younger crowd, where before when it was mostly done in-person, it really didn't have that effect. Right now, we're doing everything digitally. That's the platform that the younger crowd wants to work on and we're continuing to make that. So, like Kevin said, we're seeing it. I think in the future, we will see more of it bringing that demographic into the business.
Jim Brown: Yes. And maybe a few other comments there. I think there are higher growth markets. We have a younger demographic, and that's been really clear. I think in some of our other markets what we've seen is we've seen -- to Kevin's point, and we've seen some more of this younger group come in, but we've also seen more of our legacy customers start using the technology more. So, I think all those things are positive.
Kevin Guest: Yes, I agree with that. Yes.
David Bain: Fantastic. Congratulations, again. Thank you.
Kevin Guest: Thanks.
Operator: And next we'll move to Sebastian Barbero with Jefferies.
Sebastian Barbero: Hi, thanks for taking my question and congrats on the quarter. A few questions from me, please. Wondering first, if you could talk about some of the trends you're seeing overall in the consumer health market, including changes in customer behavior over the past 12 months and how does this compare across your different markets? And also, if you can talk about retention rates for your associates and preferred customers and how these have trended versus the pre-COVID levels?
Kevin Guest: As far as kind of the recent trends, Sebastian, I think what we've seen, and we talked about early in 2020, we saw a spike initially as kind of the rest of the world started dealing with the COVID pandemic and we saw a spike in some of our immunity products that were designed to go back and support immune functions. And we've definitely seen that spike kind of drift down, but it's still clipping at a higher run rate of growth than the rest of our products. And so, without a doubt, we've seen that -- across all our markets, we're seeing a more keen awareness of health and wellness and it allows us to go back and have more robust conversations and have dialogue with these customers and consumers that we have out there. As it pertains to your second question, we produce that active customer count number for a very specific reason. When someone comes in and buys and they don't buy again, typically we don't get something that say we're gone doing this other stuff. And so, that active customer count captures who purchased in the most recent nine-day period. And so, we think that's kind of the best transparent metric we use internally as well.
Sebastian Barbero: Got it. And you guide us that China to grow between 6% to 12% in 2021, which on an organic basis is likely between flat to up 6%. Wondering, if you could talk about any changes in the market in recent months, including meeting protocols and the competitive landscape? What gives you an inflection -- what gives you the confidence that an inflection is in fact over the next 12 months? And also, any color you can give us on early '21 trends and what does your guide imply in terms of growth cadence for the year?
Kevin Guest: Yes. I am sorry, Sebastian, it's coming across a little bit muted on the -- on your voice. So, was this specific to China that you asked the question?
Sebastian Barbero: Yes, yes. So, just trying to understand any changes in the market in recent months, in particular as it relates to meeting protocols. And also, if you can give us some color on early 2021 trends and what does your guide implies in terms of growth cadence for the year?
Kevin Guest: Yes. And I'm sure, as you read many of the same information that we're getting. China is kind of a nuanced marketplace where you have different restrictions and different guidance really provincially, and even at the municipality level. And so, I think the questions that we're getting leading up to the year is how China has a better control and they weren't having any issues and you've obviously seen recently in the news that how these markets the current outbreaks happened and China was really fairly quick to respond. We've always stayed attached to kind of the direction that we're getting from our government relations folks and the conversation they're having with the government there. And so, we're kind of toeing that line. But we do see -- it really is kind of a nuanced thing and it's not real specific to China as a whole, but that factors in kind of the best estimates we have. The other thing in the market, I think, as a whole what we're getting from our folks with boots on the ground is we're seeing overall growth in the market not the way that you saw in that mid-single-digits to mid-single-digits-plus. We expect to outpace that a little bit. But that's kind of kind of how we see it right now. The competitive landscape is -- really not too older from what we've seen historically, there always are new entrants and stuff. Right now, I think we just haven't seen kind of the same noise in that area and it really is from established players really kind of getting a foothold and executing their strategies.
Sebastian Barbero: Okay. And in terms of Active Nutrition, this new line launched in Q2, you mentioned you have a focus in weight management and digestive health. Will this be some sort of shake or will it be full comprehensive weight loss program backed by some digital tech embedded in it?
Kevin Guest: Yes. The Active Nutrition is more of a full program. Right now what I would consider our line to be is a foods line with our new trivia [ph] on the products there. We're looking at shakes, bringing back bars as we've mentioned in past calls, we're just on a north [ph] facility which literally is a stone throw away from where we're setting out our corporate headquarters. And we're going to be making our own powdered beverages and bars in that facility. We've actually started already because we're looking at launching Active Nutrition and we talked about that really the impact for a handful of markets will be in the second quarter and then we're going to have additional phases of launch throughout 2021. So, we'll see the full impact of Active Nutrition really into 2022, but we'll see those trends happening in the third and fourth quarter of this year. But it's much more than just the foods launches programs, there's influencers, there is all kinds of different ways to get more of a community around the experience instead of just more foods. And so, this is a little bit of a novel approach for how we've approached different product introductions in the past.
Jim Brown: And for us, there is a real focus on lifestyle versus a product or two that are being launched out there. If we can truly affect someone's lifestyle in a positive way to improve their health, we're really wanting to take a more holistic approach to the lifestyle as we move forward. And so, we're excited as a health company to be able to round out our offering in those categories.
Sebastian Barbero: Got it. Okay. And last one from me, switching to the capital allocation priorities. Just like what [ph] buybacks in Q4 results are building cash flow, strategic partnerships. And if that's the case, can you walk us a little bit -- can you give us a little more details around your M&A criteria? You're looking for companies solely in the direct selling industry or are you also considering brands outside like you did with Built Brands? What product categories do you believe -- or opportunity that could nicely complement your portfolio? And then in terms of what sort of capacity do you have and are you willing to take on leverage to execute?
Kevin Guest: Yes. I mean, regarding the opportunities, Sebastian, the focal point has really been on our kind of organic business. We also are actively looking for things that don't necessarily fit directly in the direct selling business that we can go back and acquire core competency that we can leverage in our other channels as well. The Built Brands is a great example to go back and accelerate our understanding, our know-how to go back and execute on what we have. And so, those are good examples. In geographic expansion, we'd look at vertical integration, technology and anything to go back and kind of playing in that health and wellness space. And I think [indiscernible], that's not directly correlated to direct sales channel at this point, but we believe those opportunities are there to leverage going forward. And then, regarding leveraging stuff, yes, we see opportunities and stuff, without a doubt, I -- we're not afraid to go back and put a couple of times EBITDA on the books as debt. We're just looking for that opportunity and we believe the deal flow that we're evaluating on a regular basis now is far beyond what we've done historically. And we're looking for those opportunities and really evaluating those on a pretty dynamic basis.
Sebastian Barbero: Got it. Thank you.
Operator: And next we'll move to Doug Lane with Lane Research.
Doug Lane: Yes, hi. Good morning, everybody. I just want to focus if we could…
Kevin Guest: Hey, Doug.
Doug Lane: I just want to focus if we could on the customer counts, and to a lesser extent even the active associate counts, where it's really been a tale of two stories this year where outside of China the growth has been remarkable, but inside China it just doesn't seem to be getting any better. So, let's -- if we could start with the good, the 30% increase in active preferred customers year-over-year outside of China. I mean, how sustainable was that and what kind of number should we be thinking about for 2021 as far as that's concerned?
Jim Brown: Yes. I would say over the last couple of years, the strategy that Kevin has encouraged the group to go back and adopt is really focusing on the consumer. And you see it in all of our markets across the globe that focus, first and foremost, on the customer. At the end of the day, we grow the company by having more individuals and families consume our products. And I think if we do that incredibly well, we've been executing on it, I think that makes it easier and easier for associates going forward as well from a business opportunity perspective. So, that focus hasn't changed and we'll keep weighing into that going forward. China has had a couple of unique challenges back to back in a couple of years. And so, that's -- I think we're coming out of that. I think the China team over there had really worked hard to go back and build a base, where we can really leverage going forward and the feedback we get is very encouraging and excited about the opportunities we have going forward. And really we will see some momentum moving forward in the business.
Doug Lane: Yes. On China, I think the one concern that I would have -- again, it was a great quarter, but the one sort of number that stuck out on the concern side was that the preferred customer number decelerated so much sequentially from 193,000 to 164,000. So, what happened in the quarter to impact the customer number in China?
Kevin Guest: Yes. It had to do with that trial program that we ran beginning -- end of Q2 and Q3 and it really encouraged our associates to go back and just share the opportunity and we created a very linear compensation for a short period of time. And so, it really encouraged them to go back and reach out and attract. And as that trial program ended, you saw some of those numbers drift down. And even with the decay in some of those lift in the customer numbers in Q3, overall, I think our Q4 numbers were catalyzed by the momentum created from that program as company as a whole and we also benefit modestly from currency, but that was the primary catalyst in the change of accounts there.
Doug Lane: Are you seeing any lift in China? I mean, especially on the active associates, we saw a less -- to a lesser extent a deceleration there as well, but the associate count in China continues to sort of drift lower here. So, I'm wondering, is -- are you looking for an improvement in 2021 or just sort of stabilization in China? I've been following China because it's almost half your business.
Doug Hekking: Yes. I think we're looking for progress there. You go back and see that reflected in kind of the outlook numbers that we have. We're not going to go back and grow unless the customers are moving in the right direction. I think the confidence is there and kind of the momentum is there and the plans are there in the strategy. This is an investment year for China and they're taking full advantage of that and we see progress in executing those investments.
Doug Lane: Okay. Thanks, Doug.
Operator: And next, we'll move -- next, we'll move to Ivan Feinseth with Tigress Financial Partners.
Ivan Feinseth: Thanks for taking my call and congratulations on another great quarter.
Kevin Guest: Thanks.
Ivan Feinseth: What were the strongest product categories and the strongest products in the most recent quarter? And what kind of product trends are you seeing -- product demand trends and interest from customers and associates are you seeing?
Kevin Guest: Yes. Like Doug mentioned a little bit earlier, immune health continues to be the product line that's outpacing anything else. And then -- and when we look at it, we did a lot of programs throughout 2021 from a promotional activity as well from incentives as well as product launches. I mean, we launched more products in 2020 -- through the 2020 than we ever have. And that was part of our overall strategy to create some growth in the markets and lessen the distractions of COVID-19. And -- but again, that immune health is continuing to be the line that's moving forward. And I would say in 2021, hopefully we might be talking about it that Active Nutrition would be the catalyst throughout the year when it comes to new product launches. But I don't see the demand for immune health to really go down in 2021.
Ivan Feinseth: And how are you like helping your associates like to educate in market immune health and that it should continue long after hopefully the pandemic is in the rear view mirror?
Kevin Guest: I think this is part of what USANA is. I mean, part of what we do is training to make sure that our associates can tell the story of our products and why the high quality is needed throughout the world and we continue to do that in the markets. And we talked a little bit about the challenges this year that we've overcome and that -- doing that training really from, say, online, digital, Zoom, web, WeChat, whatever that is platform to get it done, but we continue to do that. And well -- and when we launch Active Nutrition in March, at the end of March, really what's going to happen is the first couple of months is dedicated to and understanding and training of our associates. And we'll really roll that product line out a little bit later in the second quarter, but it's incredibly important for us as a company to arm our associates and sales field to be able to tell that story of our products and why we're better than the competition.
Jim Brown: Yes. I would say the other thing. We -- years ago, we acquired a production company that makes incredible content and had really the dynamic way to go back and share the message and education. One of the things that our China market has planned this year is to go back and replicate a lot of that capability within market. It will go back and build brand awareness, speak content velocity, many really positive things there that they're working on. And so, more and more we continue to go back and kind of leverage that know-how and expertise and find creative ways to share that information in a digital way.
Ivan Feinseth: And how do you envision what kind of events are you going to have for the Active Nutrition launch?
Jim Brown: Yes. I mean, right now, those events -- and we're really launching for a handful of markets to start with, US, Canada, Mexico, Australia and New Zealand will be following shortly. I mean, those would be virtual events that we train our associates using Webex or Zoom mostly for those markets. And it's going to be training on the products themselves, but also the programs that go along with it. We are also doing user trials at the moment, so that information will come out during that and it's all been positive thus far. We're really excited about Active Nutrition. And for us, one another area that we talk about from an exciting standpoint is bringing that technology and producing those products ourselves as a company. It's been something over the last -- well, I've been at USANA 15 years, it's been my biggest headache is dealing with a lot of third-party manufacturers who are no longer -- we're not dealing with at this point in time, but bringing that in-house is really going to have an impact to our ability to launch new products, new flavors and try things at a faster pace than we've ever had in the past.
Kevin Guest: Yes. It's something that we're -- Ivan, that we're doing with Active Nutrition that we haven't done before with relationship to your question is we have an ambassador program, which is -- we've taken some of our business build, our associates out there who are health advocates and we're actually currently having them involved with the product, working with our science team, our R&D team, getting that expertise that they from a product knowledge perspective as well as helping us put a program together that assist us directly with boots on the ground. It's almost like a working focus group that is helping us build to the launch. And so, we already have embedded, so to speak, a group of advocates who have great experiences with the product as ambassadors throughout these markets, which will give us a huge boost as we launch the products.
Ivan Feinseth: And what do you feel the size of the active market -- Active Nutrition market is relative to your current market? I mean, there are a lot of companies that purely do sports-related, performance-related stuff, but it's pretty big. And what do you think is going to be your unique attributes and your competitive advantage when you go into this?
Kevin Guest: Yes. So, just for clarity, Ivan, I think that all kind of fitness and exercise stuff will be a little bit down the road. And usually, we're going to be focusing on kind of weight management, healthy snacks. We need the markets -- a really large market and it's something we can go back and really leverage our existing customer base to go back and help tell the story through some of the technology we've talked about. So, we think it's a big opportunity. I think just managing expectations here a little bit, first and foremost, Jim, and Walter Noot, our Chief Operating Officer, have really been working hard to go back and get that production operation up and going in a very thoughtful meaningful way. And then after that, we're going to launch in select markets in Q2 and just systematically roll that out and start broadening out the product base, and it really is a more holistic offering, like so many things we see out there are very just product-focused and we plan on definitely having [indiscernible] broader than that which roll in things for nutrition and exercise and those types of things going forward as well.
Ivan Feinseth: All right. And then, on -- I guess, this is the first call since you announced your investment in Built Brands. Can you go into a little detail about what attracted you to, what opportunities you see, how are you going to work with them, what's going to be the benefit to USANA and as consumers of your product what can they expect from us?
Jim Brown: Yes. With Built Brands, the deal itself was an investment in the company, a minority investment. But what we really were interested in was some of the aspects that we could gain from the company. They're right down the road from us maybe 30 minutes running literally millions of bars a year. And the thing that we wanted to do was get expertise into our facility a little quicker. We're going to be world-class at making foods and powdered beverages, but we're just not that right this second and it's going to take a little bit of time to get there. So, there is the sharing of knowledge from an operational standpoint that was a benefit. The other thing is that we are using their formulation and R&D team to help us create a USANA bar with some of the learnings that they have and some of the technology that they have, and that will probably turn into many bars in the future. And again, that's going to speed up the process for us as USANA to launch a product because we'll be able to use their expertise. And really it wasn't as much about the investment which we have our -- I hope that we'll get a great return from that investment, but it was about the operational excellence and the ability to get a new bar from an R&D standpoint quicker than our normal process.
Kevin Guest: And just -- Ivan, from my perspective as the CEO, I had the great opportunity to go down to Built Bar and sit with their CEO for a couple of hours and we were able to strategically brainstorm how could we have some synergies together, they're in a completely different market than we're in. They have a completely different approach to how they deliver and manufacture and sell products. And so, for me, the synergies that come from someone who is actually serving somewhat the health versus -- and active nutrition market already in a different way is very important from a learning perspective on top of investment opportunity, which I think is a very great use of our capital and also getting the new core competency, but also the synergies that come from us being a partner with someone who has somewhat of a similar business, but yet does it in a completely different way.
Ivan Feinseth: It's exciting, and I'm looking forward to the Active Nutrition launch and more about the USANA bar with Built. I mean, they tend to lean keto, paleo, which I think is a big market more than a fad, but I think it is an important nutrition focus. So, what are your thoughts on that?
Jim Brown: Yes. We'll be looking for bar pace [ph] to go back and obviously have -- obviously some protein, but also some nutritional benefit as well with different focal areas. So, that's something that we're -- we've been developing and looking down the path. But I would say that we don't have anything specific in line with the -- but we definitely have some things that are catered towards health and benefits.
Kevin Guest: And just to that point also, we're always looking for different delivery way -- different ways to deliver nutrition. And with some of these bars, we had prototypes where we've had them fortified with various vitamins and minerals within a very tasty chocolate bar and it's a great different delivery system that we are exploring also as we look at these avenues. So, to your point, whether it's keto or what it might -- whatever it might be, it really opens up a host of opportunities for us from a sheer delivery perspective.
Jim Brown: Yes. And the other area too when it comes to bars like Kevin is talking about, we've historically had three or four bars as an offering. Now, with the new foods plant and having that supply chain managed by ourselves, we could have a lot more entries into the bar area as well as the powdered beverage area because we're not held under the same contractual obligations that we are with third-parties with really large brands and everything else that makes it more complicated that -- a lot of variation. So, that's something that we're going to be able to support the Active Nutrition line with.
Ivan Feinseth: I appreciate the insight and the update, and congratulation again on the results and wishing you a much more -- ongoing success in 2021.
Jim Brown: Thank you, Ivan.
Kevin Guest: Thanks, Ivan.
Operator: And that will conclude the question-and-answer session. At this time, I would like to turn the call back over to Mr. Patrique Richards for any additional or closing remarks.
Patrique Richards: Thank you for your questions and for your participation in today's conference call. If you have any remaining questions, please feel free to contact Investor Relations at 801-954-7358.
Operator: And that will conclude today's call. We thank you for your participation.